Unidentified Company Representative: Morning everybody and welcome to the Westgold Resources' Third Quarter Quarterly Conference Call. Your speakers for today are Wayne Bramwell, Managing Director and CEO; Aaron Rankine, COO; and Tommy Heng, CFO. I'll turn you over now to Wayne Bramwell, Managing Director.
Wayne Bramwell: Thank you Shane and to everyone who's joined today's call. Let's jump straight in. Slide 4. In Q3, Westgold produced 80,107 ounces of gold, in line with production from Q2 at an all-in sustaining cost of $29 per ounce. We generated $363 million in revenue at a realized price of $4,630 per ounce. This is a great time to be a fully unhedged gold producer in Australia. Westgold generated a record operational cash build of $107 million before investing $74 million in growth and exploration. Post-merger, it took two quarters to stabilize our much larger business and it's great to see us build cash as planned. We ended the quarter with our cash bullion and liquids position being $232 million, $80 million higher than the prior quarter. Consistent with our strategy to simplify our business and focus on our larger and more efficient mines and mills, we divested the high-cost Lakewood Mill for a total consideration of $85 million during the quarter. This deal comprised $70 million in cash and $15 million in script. Slide 5. Before we go further, I want to highlight the great work done by our teams in the safety space. We have consistently delivered a downward trajectory in our total injury frequency rate this quarter dropping by 8% to 6.27 injuries per million hours worked. It's a credit to every individual and every team across our business that go out there every day and choose safety, a key value across our business. Slide 6. Post the Southern Goldfields transaction, we are following the same successful process Westgold undertook in FY 2023. We have taken two quarters Q1 and Q2 of FY 2025 to recalibrate the new larger business for greater simplicity, efficiency, and cash flow generation. In Q3 FY 2025, we have delivered a record quarter-on-quarter cash build and through the execution of our growth strategy, we are set to further expand margins into the future. Slide 7. The key takeaway from these slides include; consistent production quarter-on-quarter for the group and increasing margins, albeit offset by a temporary quarter-on-quarter increase in cost. Pleasingly, production continues to increase from the Southern Goldfields on the back of higher grades at our Beta Hunt and Two Boys underground mines. On the flip side and disappointingly, the Murchison continues to underperform, driven predominantly by lower output at our Fortnum project. Aaron can speak to some of the detail later on here. Being unhedged we are taking full value of the gold price at the moment. As a result, we benefited from a strong $1,800 per ounce all-in sustaining cost margin. As we move into Q4, we expect to see significant improvements in our outputs, both production and cost due to the completion of infrastructure projects in the Southern Goldfields and increased outputs from the Murchison. Slide 8. FY 2025 guidance maintained. I'm pleased to reaffirm today that Westgold maintains its FY 2025 guidance and that we envisage a substantial increase in production in Q4 FY 2025 predicated on the ramp-up of our two growth engines, Beta Hunt and Bluebird-South Junction. And with that, I'll pass the mic back to Aaron to discuss the operations.
Aaron Rankine: Thank you, Wayne and welcome to all on the call today. Slide 10. As a high-level summary of our operations we produced 1 million tonne of ore from our mines, slightly lower than the prior quarter. This was offset by higher grade, driven predominantly by Beta Hunt, Fender, and Two Boys. We processed 1.3 million tonnes of ore in the quarter, in line with our prior quarter with stockpiles being used to supplement mined ore feed. Grade has been consistent at the group level as a result of the blending of stockpiles. This resulted in consistent production quarter-on-quarter at a group level, but as we saw back in Slide 7, the production split between the Murchison and Southern Goldfields has been changing and that's what I'll discuss in the following few slides. Slide 11. In the Murchison, we saw a quarter-on-quarter reduction, mainly as a result of lower production from Fortnum. Starlight the underground feed for Fortnum has been a strong performer, especially, in the last few quarters but had several issues in this quarter with illness in the workforce in February lower haulage fleet availability with an aging fleet and a focus on setting up access to the higher-grade Galaxy loads leading to a higher rate of low-grade stockpiles in the blend. Initial access to Galaxy is complete and haulage fleet replacements have commenced in April. Starlight production is expected to improve in Q4. Lower production from Big Bell as we establish remnant mining areas was offset by increased production out of Fender. The Fender ore was split between Tuckabianna and Bluebird mills. Bluebird mine produced more ore with increasing access to South Junction during the quarter but at a lower grade. So contained gold ounces mined was consistent quarter-on-quarter. I'll go into more detail about Bluebird and Big Bell in the next slide. All-in sustaining costs were higher than the previous quarter as a result of increased stockpile consumption, increased sustaining capital expenditure and from added haulage costs of stockpiles being processed predominantly at Bluebird. These elevated costs are temporary and will reduce with ramp-up at Bluebird South Junction, remnant rehab reduction to normal levels at Big Bell, ramp-up to higher grade tonnes from Great Fingall and Starlight and a reduction in processing stockpiles. We continue to invest in these growth projects at Bluebird South Junction, Great Fingall and Starlight mines during the quarter. The Murchison notionally generated $21 million in cash flow to the business after growth expenditure. Slide 12. This slide highlights the key opportunity for future growth excess milling capacity at Bluebird and ramp-up of mining output. We have invested to better understand the ground and have a clear plan. The ramp-up is slower than we had expected, but the accesses are being built and the ramp-up plans are sound once the accesses are in. Filling the excess capacity with high grade from Bluebird and other feed sources is key. Big Bell's reduced quarter was driven by lower cave accesses becoming restricted, but will be offset once we open up remnant work areas which will be the primary feed source from Q4. At Starlight accesses to the Galaxy loads are in mobile fleet is landing and we expect to see this displace the lower grade blend quarter-on-quarter. Slide 13. Moving to the Southern Goldfields where we are making inroads. We had increased grade coming from Beta Hunt and Two Boys. Cost and productivity initiatives are taking effect with all-in sustaining costs going down. The Lakewood Mill performed as expected prior to its shutdown and cleanout at the end of the month was successful. With our higher cost production at Lakewood ceasing from Q4 we expect further cost reduction for the Southern Goldfields. Pleasingly we generated a notional $66 million in net mine cash flow after growth and exploration spend from the Southern Goldfields. Whilst we are making progress, mining rates at Beta Hunt continue to be impacted by infrastructure in the mine. Slide 14. The three key infrastructure projects at Beta Hunt are progressing and due for completion by the end of the quarter. These projects are key to unlocking productivity at Beta Hunt and we're ready to go. Slide 15. Westgold's overarching strategy for growth is to simplify our business with larger mines and larger mills. The single mill in the South allows us to fully utilize and optimize Higginsville reducing operating costs and de-risking monthly production with adequate ROM stocks. We are working on debottlenecking Higginsville through low capital process changes and the blending of soft oxide open pit material which we have commenced mining at Lake Cowan. We've also recently released a scoping study for the expansion of Higginsville to 2.6 million tonnes per annum. This expansion will unlock value in the region. Slide 16. I'll quickly talk to Great Fingall on the next slide before handing over to Wayne so he can talk about Res Dev. The decline development at Great Fingall continued to make progress during the quarter and has now descended below the level of the upper most planned virgin stopes. Life of mine infrastructure work continued as planned with primary ventilation installation being completed during the quarter. Dewatering of historical mine workings is continuing and remains a critical path for first ore in virgin stopes at Great Fingall. The previously highlighted Great Fingall Flats early underground mining opportunity at the base of the Great Fingall open pit has also progressed with first ore expected in Q4. On this image, I'd also like to highlight some of the great drill results we've encountered with intercepts at 5.7 meters at 8.25 grams per tonne highlighting the awesome potential of this operation. With that I'll hand over to Wayne to talk more generally about our drilling.
Wayne Bramwell: Slide 18. Thanks, Aaron. I'm going to be brief here and just highlight some key points. We have released a comprehensive exploration report today and I encourage you all to look through this for further detail on our exploration and resource development activities during the quarter. I won't read out the drill hits here, but as you can see the drilling at Nightfall is outside the mine plan. We are really excited about the future of Starlight and the opportunities to expand this project. Slide 19. The Fletcher zone within Beta Hunt is a key focus and continues to deliver lifting in our drilling. We are nearing completion of the resource definition program and are on track to produce a maiden resource for Fletcher during this quarter. I'll now hand back over to Tommy to go through the financials.
Tommy Heng: Thank you, Wayne. Slide 21, this quarter we sold 78,000 ounces of gold at a strong realized price of $4,630 an ounce for a total revenue of $363 million. Westgold is completely free of any gold price hedging so the company continues to offer shareholders full exposure to the current record gold prices. Our costs have increased quarter-on-quarter, albeit temporarily due to increased stockpile consumption sustaining capital and increased haulage, particularly for the Bluebird Mill. But importantly these cost escalations we see are as said before temporary. The growth in production we expect in Q4 should also reduce our cost per ounce as we reduce the need for haulage and more effectively consume our processing capacity with higher grade ore. Our strong margins which was assisted by our full exposure to the gold price allowed us to generate a notional net mine cash flow of $87 million and add to our closing cash bullion and liquid position by $80 million such that we closed at $232 million for the end of the quarter. With the remaining $250 million of undrawn capacity in our corporate facility Westgold ended the quarter with $482 million of available liquidity, a strong position from which to grow. Slide 22. This picture tells the story of where our cash position at the end of the quarter sits. The key takeaway in this our operations delivered $107 million cash build before growth and exploration and we closed the quarter with $232 million in cash bullion and liquid investments growing our quarterly closing position by $80 million. We also received $25 million of cash as part of the total $70 million cash consideration for the sale of liquid. We expect a further $20 million before 30th June 2025 and the $25 million balance by 30th November 2025. I note that, we've also paid down $30 million in working capital this quarter a function of consolidating and integrating this now larger business. We invested $63 million in growth capital predominantly in development at Bluebird-South Junction and Great Fingall and also upgrading of power ventilation and paste infrastructure across the portfolio. We also invested $3 million into New Murchison Gold via participation in the equity raise. We are pleased to note that this quarter all conditions precedent to the all purchase agreement in place with New Murchison Gold have now been met or waived, which is great news for both sets of shareholders. Lastly on this slide, I'll mention that whilst we received $15 million in Blackcat Syndicate script, as part of the Lakewood divestment we have not included this in our liquid investments as there is a 12-month escrow period in place. With that, we closed the quarter with $232 million in cash bullion and liquid investments. Slide 23. This graph highlights our monthly cost performance. The red bar shows the total all-in sustaining costs with the increase in February and March a result of increased stockpile processing. In the earlier months of calendar year 2024, you can see that the effect of our efforts in the Murchison operations to optimize our cost base, and prioritize profitability taking total AISC from the high $40 million to the mid- $30 million mark. We intend to do this again with the Southern operations and we are confident we can achieve this. We have the following near-term catalysts for reducing our group all-in sustaining cost per ounce. Expansion of Bluebird South Junction and Beta Hunt, which will displace stockpile and reduce haulage, whilst increasing mill grade; improved processing costs in the Southern Goldfields by dispensing of high-cost milling at Lakewood; improved outputs at Starlight and application of synergies which are already starting to take effect in the Southern Goldfields, which I'll talk to in the next slide. There's a lot to look forward to as we execute our plan. Slide 24. We've already realized $32 million of our $49 million of targeted pre-tax annualized synergies since the transaction. These are listed in the table on the slide. Importantly, we are not done yet. We have identified further opportunities in the areas of accommodation services, flights and supply chain commodities that have scope to be realized in Q4, FY 2025. Moreover, we have $100 million in active tenders at the moment, which we expect to deliver savings into FY 2026. Watch this space. And with that I'll hand back to Wayne for closing.
Wayne Bramwell: Slide 26. Thank you, Tommy. The plan ahead. The plan ahead is simple. In the Murchison it's about the delivery of the Bluebird-South Junction expansion. All hands are on deck and the whole workforce is leaning into bringing on South Junction in a timely manner. This unlocks a whole raft of benefits such as less reliance on low-grade haulage and increased feed grade to our Bluebird Mill. In the Southern Goldfields, it's about delivering the infrastructure upgrades at Beta Hunt and defining the Fletcher zone. We've managed to simplify and balance the mine and mill equation in the Southern Goldfields this quarter. So now it's about realizing the margin improvement that we know we can achieve through more Beta Hunt being processed at Higginsville. With that I will close today's presentation and open the call to questions. Thank you.
A - Shane Murphy: Thank you, everyone. [Operator Instructions] First question comes from Larry [ph]. And it is the mining method at Bluebird appropriate for the ground conditions?
Aaron Rankine: Thank you, Larry. This is Aaron. I'll take that question. So look we've done a lot of work on understanding the ground conditions surrounding the Bluebird-South Junction ore body recently. Essentially in short, the ore body ground conditions are absolutely appropriate for the mining method we've selected. The poorer ground conditions we're experiencing are in the footwall of the ore body. The ore body itself is actually quite competent and good and will support the large stope shapes. The footwall design infrastructure we've got the engineering solutions and we're undertaking the new designs at the moment.
Shane Murphy: Next question is from Paul [ph]. Hi, team. Can you please talk us through the ground conditions at – oh we just had that with Bluebird. Sorry, I'll just move to the next question. Next question is from David [ph]. What is the life of mine of Two Boys and the new Lake Cowan opportunity?
Andrew McDougall: Hi, it's Andrew McDougall speaking. Yes the Two Boys has had some really positive resource definition drilling results to the east in the past months. We expect to finish that program through the course of this quarter. Two Boys, we're now planning to operate all through next year and there's a period of harvest beyond that. What excites us is it gets us close to older workings 400 meters beyond that current drill position for future potential. So pretty exciting times at Two Boys. The life of mine pits at Cowan are expected to mine for five to six months and processing will continue through next year.
Shane Murphy: Thank you. [Operator Instructions] Next question is with respect to the fleet at Starlight. What is the plan for the old fleet at Starlight?
Aaron Rankine: Yes. This is Aaron, again. I'll take that one. Essentially, the whole fleet is what we're replacing at the moment and four new trucks going into that mine this quarter. Essentially the current mine life that's come out of the drilling has allowed us to invest in new equipment, which will give us lower cost better productivity, which is in line with the work we've been doing in our broader fleet strategy overall to have less newer equipment that's more productive.
Shane Murphy: We have a question from Paul on R&R for Beta Hunt. And he would like to know when we will get an updated reserves and resources at Beta Hunt? And how do you think grades will change under your ownership?
Andrew McDougall: Yes. Thank you. It's Andrew speaking again. We're pretty excited about the drill results we've received from the Fletcher program. Overall, the resource has about a 35% conversion. So we'll get into Res Dev of the greater resource. At the moment that looks like, it will be quite an extensive outcome for Fletcher but we haven't yet declared anything publicly. That will be announced in August with the reserves and resources statement.
Shane Murphy: Next question from Andrew. Hi team. Could you please provide a bit of flavor around the NMG agreement and the potential effective efficiency of the mill and recovery rates?
Aaron Rankine: I'll take that one. Thank you for that question, Andrew. Look the new Murchison agreement is a win-win for both groups of shareholders. What it does it provides the secret sauce we're missing at Meekatharra at the moment, which is soft oxide ore. We're expecting to see that ore from Crown Prince coming in in the first half of FY 2026. And what does it bring? It brings grade and soft material, which we can blend with our harder underground ore from Bluebird-South Junction. We expect the throughput in the mill to go up. But what that ore source effectively does means instead of bringing low grade to Meekatharra to process. We've got an approximate ore source with a grade of circa 3 grams per tonne, which will be substituted for the low-grade stocks we're currently milling. So overall, increased throughput and certainly increase in head grade.
Shane Murphy: And the next question is from David. It's a question on Bluebird. He's noted that there's been 109 kilotonnes in the March quarter with a target of approximately 300 kilotonnes per quarter. How quickly do you think that can ramp up?
Aaron Rankine: Yes. Thank you for the question. I'll take that one. Look, so essentially, the ore body can sustain the 100,000 tonne run rate without a problem. The real question is around getting our infrastructure set up and the accesses into the ore body to allow us to produce at that rate. So we're undertaking some updated design work as was invested in drilling and modeling of the geotechnical conditions in the footwall. So I don't have a definitive answer on that as of today other than to say that absolutely that run rate is able to be supported by the ore body.
Shane Murphy: There's a follow-up question on Bluebird from Paul. What sort of ratio should we assume from Bluebird-South Junction in the June quarter as part of your guidance?
Aaron Rankine: Yes. Look, I'll take that one again. So essentially we are continuing to increase production out of Bluebird-South Junction. We are getting into South Junction proper stopes from this month which will lift that percentage month-on-month, which will continue up to the 100,000 run rate.
Shane Murphy: We have a question from Larry, which is on the rising main upgrade. I assume that's at Bluebird. So he just wants to ask when that's expected to be completed.
Andrew McDougall: Yes. So the rising mine for Beta Hunt. No, the rising main isn't required for the increase in production rate. There are a number of projects that will facilitate that increase that we will continue to work on through this quarter, including the ventilation upgrade and the water upgrade and obviously, equipment. We think that's going to be completed in the coming months on schedule and then we'll see the increase through the course of this quarter.
Unidentified Company Representative: Your next question comes from David. First ore is expected from Great Fingall this quarter. What is the normalized quarterly throughput at Great Fingall or rather the potential? And how quickly can you get there?
Aaron Rankine: Yeah. Thank you. I'll take that question. So the Great Fingall mine plan inclusive of Golden Crown ore body getting up and running should get us to around the 40,000 tonne a month mark. That will be happening later FY 2026 into FY 2027 as we open up both ore bodies.
Unidentified Company Representative: We have a question from Nick and this might be difficult, as it's sort of forecast here, but what can we expect when you achieve forecast production run rates of 100 kilo ounces per quarter, in terms of cash flow from operations?
Tommy Heng: Thank you, Nick. I'll take that question. Obviously the guidance is for the next upcoming financial year is in the workings. But as you see from our performance this quarter and our operating margin one can only make the assessment. So stay tuned for what will be coming in the coming months our revenue [indiscernible] FY 2026 guidance.
Unidentified Company Representative: Apologies, everyone for the background noise, there is a siren on the terrace. We'll just pause there to allow some more questions. I'll hand you back now to Wayne, for some final comments.
Wayne Bramwell: Thanks very much, Shane. Look thanks for everyone patching in today for this quarterly call. It's been a busy time. And there's a lot of work happening in the backgrounds at Westgold. Anyway, it's a great time to be unhedged. Team is focused on delivering Q4 and we'll look forward to a different set of numbers at the end of Q4.
Unidentified Company Representative: Thank you everybody. That concludes today's webinar.